Valeria Ricciotti: Good afternoon, everyone, and welcome to our First Half 2024 Results Conference Call. I'm Valeria Ricciotti, Head of Investor Relations and Credit Rating Agencies. Today, our CEO, Roberto Cingolani, will take you through the important progress that we achieved during the first half of this year and how we are positioned looking forward. And our CFO, Alessandra Genco, will take you through the first half 2024 results and performance across the group. We will then welcome your questions. The call is planned to last no longer than one hour and a half, including Q&A. The supporting slide presentation is available for download by registering to the webcast. And all the first half results materials are available on our website under the Investor Relations section. Please note that throughout the presentation, we will be making forward-looking statements. So, I invite you to refer to our Safe Harbor statement, which applies to this call as well. Now I will hand you over to our CEO, Roberto Cingolani.
Roberto Cingolani: Thank you, Valeria. Hello, everybody. It's a pleasure to be here again. Today, we'll see the data of the first six months. Data looks quite good, I would say. In this plot, you see the pro forma for the first quarter, which includes now the data of the consolidation of Telespazio in the balance sheet. This is now the actual number for the first semester of ‘24. We see new order growing by 15.6%. Revenues are growing by almost 11%, reaching EUR8 billion in the semester. EBITDA is growing from EUR444 million to EUR503 million, growing by 13.3%. The return of sales is growing up to 6.3, so plus 0.1%. The cash absorption free operating cash flow has improved by approximately 8.4% from minus EUR448 million to minus EUR402 million. And the net debt has considerably reduced by 18.2%. Actually, the book to bill has reached 1.3 this semester. The backlog has grown up to EUR43 billion, a considerable increase compared to the recent performances. This is without jumbo orders and with a rather homogeneous growth throughout the company and the different divisions. Now, let's see how we are implementing the plan. I mean, you remember on March when we presented the new industrial plan, there were two main actions; strengthening the core business and paving the way to the future that namely addressing the global security challenge through primarily Space and Cyber Security to improve the global technology attractiveness of the company. The strengthening of the core business primarily involves organic growth and the efficiency boost, the saving plan that we introduced on March, EUR1.8 billion in the next five years. Pave the way to the future refers primarily to inorganic growth and empowerment of Cyber and Space divisions. Now, let's see how we are trying to work and we have been working over the last six months. We have seven bullets that we will detail later. First one, we have done considerable progress in digitalization to empower business. This has to do with different strategy employing digitalization in product production, in product design and multi-domain operation initiatives. Portfolio streamlining, making more efficient the entire offer of products of the company, including cutting non-core business activities or products that are no longer interesting for Leonardo. Third, efficiency boost. I told you before, we will go through the details later. For this year, we are targeting EUR150 million savings and we will see how this is progressing. The fourth is strengthening international alliances. There's plenty of news that I will detail later. The fifth is the emerging acquisition strategy. I'm sure you remember we were promising within the inorganic growth to act on specific due diligences, primarily in Space, Cyber Security and unmanaged systems, trying to acquire small companies whose cost should be in the range of 15% to 20% of the turnover of the division that is making the acquisition. We'll show you what we've been doing. Finally, sixth and seventh. Sixth is the organization and governance, primarily the definition of new Space division and some progress in new hires. And this was rather unexpected at the beginning when we introduced the new plan. We decided to accelerate the new industrial plan of the Aerostructure divisions. Of course, in March, it was impossible to forecast the problem that Boeing had to face and in turn we had to face because the shipment of our components is being reduced. So, we decided that no matter whether the breakeven point will be reached or not in 2025, we're now working on a new strategy for the Aerostructure division. Basically, the idea is that we will go from an intra-divisional solution to an inter-divisional solutions. So, there will be diversification, differentiation of the production, including some military production, to be moved into the Aerostructure division to accelerate the recovery of a profitable business. So, let's see now one-to-one how we progressed. First of all, digitalization, empowering the business. Here we summarize quickly the strategies that we've been developing for the digital twin and big data in Helicopters and Aircraft smart factories. First thing, the prototype machine, the 139, which is one of the best sellers of the company, has been the subject of strong work in terms of digitalization. Everything is digital now, from the maintenance, to the design, to the quality of the flight. We have analyzed 50 terabyte of data that are produced during 2.8 million hours of flight, more than 1,200 helicopters and 12 years of flights. So, this means offering new services, predictive analysis, much more efficient design, and of course product performances. We have developed also new algorithms for broadband noise prediction, particularly for main rotors of helicopters, and something similar to the 139 helicopters now being set up for the digital connected fleet of aircraft, particularly we are following the similar approach for M-346, the trainer, and for the C-27 J, the transport aircraft. Finally, we're now up and running with the NEMESI program, which is a fully digitalized capability for the fuselages and aerostructures. The production has improved substantially and the quality of the production is now a state-of-the-art. Second approach for digitalization has to do with the multi-domain strategies. So, we have launched together with armies, from the three domain, land, sea and air, a program to establish the requisites of the multi-domain capability that we want to develop for our products. This is a working group that is mixed with the armies and the Leonardo technical team. And actually, we have set up a multi-domain innovation hub at the headquarter of the Electronics division. You can see here, in this, this is the image of the new hub where both the technical staff of the armies and our technical staff will get together to design the new requisites of the multi-domain technologies that we plan to develop over the five years of the industrial plan. Let's go now to the portfolio streamlining. Well here, I think you remember some of those things have been anticipated recently. An agreement has been signed in May to sell the Underwater business, formerly the UAS, to Fincantieri. That's a very important step to clean our portfolio and the evaluation was up to a maximum of EUR415 million, EUR300 million the fixed part and approximately EUR115 million is a sort of earn out. Actually, the data looks promising so very likely we will accomplish the maximum amount of money. The closing of this operation is expected in early 2025. The contract has been signed in May ‘24, so during the semester. We finalized the exit from a couple of important non-core activities. The first one was Industria Italiana Autobus, which is a company where Leonardo was involved for many years producing electric buses, electric transportation systems. Actually, we finalized the closing, we exited the company on July 11th and that was a loss of approximately EUR30 million every year. So that was an important step towards a very disciplined allocation of our money. Similarly, on the Skydweller program, which is a company producing a large drone with 70 meters wingspan, completely solar powered. This business was not promising for us, it was absolutely getting out of our core business and closing this activity returns in a saving of approximately EUR15 million every year. Concerning the important initiative of the saving plan, I'm sure you remember this plot, this graph that we presented at the Capital Market Day. We plan to save something like EUR1.8 billion over the budget plan period. On average, our expectation is that 70% of that savings on average in the five years should come from efficiency measures. So direct procurement 13%, travel 13%, energy 12%, real estate 9%, information technology 8%, and 15% other indirect procurement. 20% should come from corporate center restructuring and about 10% over the five years should come from business product disposal. Now, for the six months that we are analyzing, the numbers are very promising. In this first semester, we estimate approximately EUR90 million savings overall. Those savings are coming primarily 70% from procurement, 8% from corporate cost reduction, 9% from travels, and 13% from business product disposals. As a tendency, that is promising in that it should outperform the expectation that we have for 2024. The expectation, as you remember, was EUR150 million. So, we expect to continue to pursue the strategy of savings with the same pace, so we very likely close the year with EUR90 million savings. For your information, in the last 12 months more than 200 executives have left the company for different reasons, retirement or because they just went. A ninth of those left the headquarter. In the headquarter there were originally 300 executives, so 90 were going. Of course, you don't see immediate saving for that because, as you know, normally there is a campaigning program for those executives leaving, but of course this is a part of disciplined allocation of resources, and also it opens the way to favor new hirings of younger people, so renewing a little bit the composition of our team. I mean, the saving plan is very important because it helps in mitigating inflation and shortfall in other areas that are not maybe very profitable at the moment, such as something in Aerostructure or something in Space, Telecom manufacturing, primarily due to our Space Alliance Analysis. So, we believe that the saving plan, together with the good numbers that we have and solid performances that we have in the company results, allow us to be rather safe in terms of capital allocation, investment for the organic growth on one hand, and on the other hand, in ensuring that the debt goes down, as you have seen before. Let's go to the fourth bullet that was the joint venture and international initiatives. The most important one today, for sure you have heard already, is the agreement done with Rheinmetall for a strategic joint venture in the land domain. Actually, in that case, Leonardo-Rheinmetall will constitute by September so, we are working on the work share, a joint venture that is 50-50. It's a very light joint venture. It's not distributing assets. It's just a team of people that are taking the market, taking the opportunities and distributing the work share between the two partners. Leonardo will be lead system integrator and prime contractor of the next generation land vehicles. And as I said, we expect to sign and to close this joint venture by September. The two platforms that will be at the basis of such joint venture will be the new tank based on the Panther KF51 platform, the main battle tanks, and the new infantry fighting vehicles that are based on the Lynx platform in all the different configurations. For the Italian initiative, this has to do primarily with the renewal of the land fleet of the Italian army, which is approximately EUR20 billion business over the next decade or so, a bit more. The work share will be 60% Italian and 40% in Germany. Of course, this is a very challenging program. It's open the way to export because the platforms are supposed to be extremely competitive at world level. And for export uses, the joint venture will eventually define different work shares. And this is something we're discussing currently with our technical teams. To give you just a basic indication of the work share, let's say Leonardo will be more involved with the electronic suite, optronic sensors, main gun, weapon system integration, turret basically Rheinmetall, traditionally more on the chassis, transmission, power unit, and so on. The complementarity of the two companies is extremely promising, and we believe we can deliver the first machine to the Italian army already in a period between two and three years from now. This is a unique opportunity to develop the next generation of combat land vehicles and to be very competitive as a solution in view of the European main battle tank program. So, we expect this to open a much bigger market than the Italian army market itself. So, we'll see. In September, you will see the joint venture up and running, hopefully. Second information, which is interesting, we just signed in the Farnborough, a few days ago a Memorandum of Understanding with Airbus to support the NH90, the combat helicopter, for the next decades. Here, as you understand, the platform, the NH90 is a very performing platform, but of course, it needs to strengthen the in-service support, manage obsolescence, as usual for those technology, upgrade the core systems and mission systems to ensure that the machine is competitive. And of course, we are developing and changing the software, should be the third release of the software to make the machine more and more efficient. This is something that started recently with Airbus, and it's part of the increasing collaboration between Leonardo and Airbus. I will tell you more later. Third bullet is the MOU that was signed with Bell. I mentioned this already to you in the previous discussion. This is the complementary approach to the fast combat rotorcraft. This is the tilt rotor. And this is more -- right now, it's more relevant for the American market. There is the MOU with Bell, you know that Leonardo and Bell generated the concept since the very beginning and they are presently testing machines. I mean, the Italian – the Leonardo machine is close to certification for civil applications. Bell has a much bigger military machine. And we were awarded, Leonardo and Bell, in a joint. We were awarded by the NATO NSPA Conceptual Study to define the solution for the fast rotorcraft NATO Contest in July 2024. Other companies are also involved. There will be three teams competing, but I have to say that according to what we have already in our hands, in our technologies, basically, we believe we are ahead of the competitors. And the last important point concerning the joint ventures and the international collaboration is GCAP. You heard a lot about GCAP. In Farnborough, there was a lot of discussion and consultations among the partners. We met the Prime Minister of the UK, we met the CEO of BAE Systems, the Minister of Defense of Japan. So, there was a wide discussion. You know that we are strongly committed, all the three countries are strongly committed towards the creation of the GCAP joint venture. This will be done in the next few months. We're still discussing the work share. We're still discussing how much this will be an aircraft platform and how much will be adjunct drones and system-to-system technology. But the important thing is that we are all working together. We want to finalize this as soon as possible. And also, the governmental support, the governmental investment is already allocated in all three countries. For instance, in the case of Leonardo, the Italian government has allocated EUR8.7 billion. And this will be definitely dedicated since the very beginning to the system assistance, probably part for the adjunct development, and of course, for the collaborative job with all the other partners. And not forgetting that at the moment, we are increasing the team of the GCAP, which is expected to reach more than 3,000 people by next year. So, it's a very massive commitment towards this big program. Let's go now on the merchant acquisition side. This is smaller, as you remember. We had the rule, the internal rule, not to exceed 15% to 20% of the turnover of the division that makes the acquisition, just to be very disciplined in the capital allocation. This is something we can do by the organic growth, by the ordinary money. If the numbers are good, as you've seen at the very beginning, we can make our organic growth without big struggle. We are scouting a number of opportunities. We are finalizing, especially in Cyber Security, the acquisition of a small medium enterprise which is specialized in resilient solutions for information technology and related technologies. This is part of the new plan. You remember we said very clearly when we introduced the industrial plan that one of the targets of the Cyber division, the new Cyber division, is actually to improve, to increase the proprietary technologies from 30% to 60 -- more than 60%, and to improve, to increase the applications and product for military application from, again, about 30% to around 70%. So that is a big commitment, and this kind of acquisition goes exactly in the same direction, because those are applications for infrastructure that are focused on the defense domain. Concerning Unmanned Systems, by the way, this should be finalized if the numbers will be all right. The due diligence is almost finished in September. Concerning Unmanned Systems, we have an advanced due diligence for the acquisition of a small medium enterprise that develops tactical drones, and particularly the challenge here would be to develop drones with a payload in the range of 100 kilos, 100 to 150, which is, by the way, the most relevant payload range for light drones for tactical and military applications. Finally, we recently acquired the control of GEM elettronica. Actually, GEM elettronica was already participated by Leonardo. We shared 30% of the company, but now we decided to go up to 65%. The closing is expected by Q3, but this is already established. It's very important because GEM produces small radars for coastal guard's applications that are totally complementary to our radar technology. So, this is a completion of our radar portfolio that is extremely efficient for our market analysis. In the meantime, it has a relatively low cost in the range of EUR20 million, which is by far smaller than the market it opens. So, disciplined capital allocation strategy must support growth and the leveraging plan. This remains our key, how to say, our direction. Together with good numbers, we hope this will continue over the next years to make a stronger Leonardo a more efficient company. Let's go now to the sixth bullet, which is the new organization, Pave the Way to the Future. You remember we said we want to create the new Space division. This is a rather massive operation within Leonardo because last year we had the only participations in different companies through the Space Alliance or through the Electronic Business Division. We decided to rationalize everything. So right now, where we are? Telespazio has been fully consolidated. We have to acknowledge the strong support of our partner company Thales. The new line of business in integrated electronics and sensors has been carved out, but the Electronics is now fully integrated into the Space division. We are leveraging on Thales Alenia Space Activity for Earth observation and exploration. And E-Geos, which is a small company controlled by Telespazio, is now fully dedicated to the Information and ISR. Now, the core activities will be, in our case, very selective. We decided not to, as Leonardo directly invest on SATCOM or in launchers. This will be outside our core business. We focus on satellite services, Earth observation, ground services, global monitoring, cloud in space. Exploration. And we will adopt a vertical approach, sort of end-to-end solutions and products. And of course, this will be also mandatory because military forces need a strong satellite capability for multi-domain services. So, this will be the focus, the core activity of the Space division. In terms of organization governance, the division director has been appointed, Dr. Comparini, the Telespazio CEO has been appointed, the E-Geos CEO has been appointed, the TASI CEO has been appointed. Of course, we are sharing people and ideas with our partners in Thales within the Space Alliance, but also very important the fact that we are discussing, you've seen this in the press, we are discussing in a very constructive way with the other big companies, Thales, Airbus, about possible alliances, synergies that should be developed for a stronger Europe in the space business. So, this work is in progress, all technical teams now are working, but I have to acknowledge the absolute collaborative spirit that is now characterizing all the companies in discussing this important issue because Europe needs very likely a stronger space organization or a stronger space synergy to compete with the big markets such as the U.S. and China. The new strategic framework of the division will be released on September 24, so immediately after the vacation period, the business plan and the market analysis associated to the framework will be released by the end of the year -- before the end of the year. Now, last point, as I said, we decided to anticipate something never considered before because of the fluctuation of the – the volatility of the market and the problem that we had, that Boeing has to face, we decided to anticipate the analysis and the proposal of a new industrial plan for Aerostructures. Now, let me summarize, first of all, Aerostructure consists of four plants. The one at the moment that has some problem is the one in Grottaglie where we fabricate the wide body 787 for Boeing, the others primarily in Campania, Grottaglie and Nola, they got good performances, they are doing well. So, at the moment we focus on the Grottaglie plant. Actually, for your information, on my shoulder you see how it looks, the plant, it's really gigantic. It's a state-of-the-art. For your information, this is one of the most innovative industrial sites in Italy. The total area is 364,000 square meters, covered more than 110,000 square meters. There is an airport just connected to the big hangars. 1,300 employees, about one half between 30 and 40 years old, so that is a very good facility where the country invested a lot of money by the time this collaboration with Boeing was launched. Now, the limit is that this is a single provider on a single model, and we believe now we cannot stand. It's too dangerous for the company and we would like to diversify and to contribute to the relaunch of this plant. Now, first of all, we are working on a very tight schedule with the colleagues of Boeing. We are now analyzing a number of short-term initiatives because we need to mitigate immediately the reduction of the shipment of the fuselages that went from about 10 to 3 recently. So those are numbers that we cannot stand in terms of business. So, at the moment, we will reduce the activity to single work shift. At the moment, we have two work shifts per day. We go down to one. This gives us the time to empty the warehouse where there are more than 40 fuselages, so we have time to mitigate the impact of the present situation. And also, we are discussing with the colleagues in Boeing how to increase the production and the delivery growth rate. Particularly, there is a lot of negotiations ongoing, I have to acknowledge a very constructive attitude by the colleagues in Boeing also, we expect that we go back to rate 10, so 10 fuselages per month by 2025 and likely this is going to increase because you know that anyway there is a large queue of orders for the large body frame aircraft, so we know that sooner or later this business will increase again.
[0:27:50]: So, the company Leonardo is now planning to move different productions there, particularly productions that are institutional or military to a company to support the big business that is correlated to the 787 that at the moment has a problem. So, particularly we are analyzing industrially to move the final assembly of the tiltrotor machine, which is the top-class technology at the moment, as I mentioned before for Italy, and of the AW101. So, those are two top machines that could be moved for the final assembly there. Don't forget that closing proximity to Grottaglie, in a city called Brindisi, 30 kilometers from there, maybe 40 kilometers from there, we do have another plant for helicopters. So, the proximity helps, there is already a tradition there and we are now analyzing technically how to do this, but for sure this means diversifying the activity. There are a number of other technologies and products, Eurodrone wings, prototypes of advanced air mobility, fuselages for the Proteus helicopter. There is the new Aerotech Campus Academy which has been launched in the fall 2024. And I should say on top of that there is a very good news because our partners in Airbus, actually, we also have a lot of interactions, collaboration with Airbus, have engaged a discussion to expand the collaboration across another product line, the A2020, not in Grottaglie, in the other side, but anyway contributing to the overall stability of the Aerostructure division. And we plan to sign by the end of the year a new agreement for the fabrication of the rear parts of the 2020. So, we believe that thanks to the increasing collaboration with Airbus, thanks to the strong commitment of Boeing and Leonardo together to improve the situation of the 787 and on top, thanks to the diversification of the activity in Grottaglie, the plan that we are building should give more stability to a long-standing problem that was the profitability and the survival of the Aerostructure division. So, we are very confident this will be a good solution and by the end of the year we will bring you numbers, but this is what we are doing now. Let me go now quickly to miscellaneous or other things. I will not bore you too much here, it's a very complicated slide. Sustainability, give me one second and I will go to the main data. AI-driven business intelligence, just to let you know that our business intelligence based on AI is now operating even in the administration and planning and control activities, so this is now being more and more used within the company. We are investing in a constant smooth way on the high-performance computing and cloud capability. We need to keep the gap with the competitors and this doesn't need so much money, it needs primarily good people, good commitment and a relatively small upgrade of the facility. We have launched the outreach and digital content brand initiative. Where we are now, this is our digital fabrication area, digital hub and the STEM dissemination program to attract young brains. Finally, which is more important at the moment, what I wanted to tell you, it's written down here but I'm sure you can see it, a Capability Enhancement Program by the Human Capital Strategy. Just to let you know, our organic growth plan forecasts 3,500 people in this year, in the last 12 months actually. You remember that over the five years plan, we had approximately 27,000 headcounts new. A large part of those were brand new people and about 9,000, if I remember correctly, were replacing people that were retiring. So, there will be a massive investment to ensure the organic growth. As long as the numbers are good, this makes a lot of sense. This year, 3,500 new hires, 38% are STEM, so science, technology, engineering and mathematics, 48% around 35 years old on average and one quarter 25% women. This is the first measurable result of our human capital strategy that has been launched at the very beginning of the mandate and now is getting implemented on a daily basis. I want to show you as the last piece of information, the strong position across ESG ratings that characterizes Leonardo at the moment. So, a few news here. First of all, we were renewed in July 2024 the Anti-Corruption System Certification ISO 37001. That's very important. And also, we got the Gender Certification UNI-PDR again in July 2024. Those are important accomplishments for our sustainability integrated balance sheet. And in the table here that you might not see very well from the screen, but you have it in the slide that we delivered before, that are made available. This is actually the list of the main rating agencies in the field at large of sustainability. The Leonardo rating, the scale, low, high and primarily what is important, the ranking in the Aerospace and Defense sector. So, let me focus the attention on three important companies. S&P Global that is kind of prognostic to the Dow Jones ranking. This is about all the ESG. Leonardo is ranked first out of 97 competing companies. So, we are first. The second one is ISS ESG. This is now a prime threshold. There are only five Aerospace and Defense companies that are in the prime threshold, in the top 10. And one of those five is Leonardo. And least but not last, CDP, that is the carbon company. It's a carbon rating agency that, by the way, recently has been extended not only to carbon but also to water. And we are ranked in the leadership band among the top in the entire group of the Aerospace and Defense company with the Leonardo rating A-. So, I believe this is an important result that we got because our first sustainability operative unit was launched in 2020. So, in four years we are really leading and we believe there is of course margin for improvement but there is a strong commitment in the company to be as much as possible sustainable and to improve in any respect our performances. At this point, guys, I want to thank you for having the patience to listen to me. I give the stage to Alessandra Genco because she will now show you in more detail some numbers and of course after her presentation we will be happy to talk to you and to answer your questions. Thank you very much for your attention. See you in a bit. Alessandra?
Alessandra Genco: Thank you, Roberto. Thank you and good afternoon, everybody. I'm very pleased to be talking to you through our first half results which show a strong commercial and financial performance across the group with very solid double-digit growth across order intake, revenues, and EBITDA while improving free operating cash flow and reducing net debt. We're showing a sustainable growth in order intake. As Roberto mentioned order intake is up nearly 16% in the first half. Delivery of a record backlog of over EUR43 billion resulting in double-digit revenue growth of 11% and higher operating profit driven by good performance and acceleration of our efficiency plans. All of this resulting in an EBITDA up 13%. Cash flow strengthening is driven by good cash ins, delivery on regular invoicing, credit management actions and working capital actions that let the working capital be under control. All of this is leading to lower cash absorption and free operating cash flows improving by 8%. A disciplined capital allocation is aimed at supporting growth as we told you in the Capital Market Day in March and we're continuing to the leveraging while we improve shareholders return. The debt pay down has been of 18%. We did not refinance the bond maturing last June. We didn't have to refinance it because we use our cash on hand to reimburse it and we maintain a solid balance sheet supporting investments around EUR350 million which are key as an enabler for long-term growth and innovation. We also doubled the dividend from EUR0.14 to EUR0.28 per share and we're continuing the very positive trend and the good start to the year that you saw earlier in the first quarter. Confirming the strength of our portfolio of products are solid positions across global geographies. First half results are as mentioned a strong performance across all KPIs and to make a better comparison what we have done is to pro forma the previous year as if Telespazio were consolidated from January ‘23. So, you can see continued very strong commercial momentum with group order intake rising to EUR10.3 billion in the first half which translates into a 15.6% pro forma increase with an especially strong commercial performance in Defense, Electronics and Helicopters reflecting good positioning in domestic as well as export markets. This growth in new orders is again well balanced with a good spread across geography and across business areas and without any concentration in any single country or any single customer and no jumbo orders as Roberto mentioned. The book to build was 1.3 times and we're seeing growth opportunities across segments in Defense especially and also in Governmental businesses plus growth in the civil areas of Helicopters. Group revenues increased 11% to just under EUR8 billion and we delivered strongly off our backlog. Higher EBITDA across the group especially driven by defense volume as well as efficiencies. An increase of 13% to EUR503 million. The return on sales improved slightly to 6.3% and you can see the continuously improving cash flow and reduction of net debt. Our first half free operating cash flow outflow was contained to EUR502 million and as of June our group debt was also significantly lower at EUR3 billion versus the EUR3.7 billion in June last year. This was also supported by the sale of the 8% stake in DRS the transaction that we closed last November. So, a first half very solid and on track and it underpins our confidence on the full year target. Now let's go deeper into the results and the business performance sector by sector. Helicopters is where we see continuous strong positive momentum. Excellent new order intake in the first half, up 28% to EUR3.5 billion. Revenues up 12 plus percent to EUR2.4 billion and EBITDA up almost 10% to EUR172 million with return on sales steady at around 7%. Order intake was very strong in both Governmental and civil sectors in addition to the defense market. Major orders included the 20 AW139 for Saudi Arabia, four AW189 for the Malaysian Maritime Enforcement Agency and NH90s. Revenues grew mainly driven by delivery of backlog which now stands at over EUR15 billion with increased activity on dual use helicopters as well as customer support services and training. EBITDA growth reflects higher volumes and continued successful management of supply chain and other pressures. All of these have been affecting the entire industry and need careful managing in areas such as hiring engineering talent. So, a good performance from Helicopters and continued strong commercial momentum with good demand across business areas. Moving on to Defense Electronics we see a standout performance across both Europe and the U.S. I'm also going to show you separately the numbers for our Cyber business which for the first time is identified as a separate sector before it was incorporated within Defense Electronics. We wanted to show it as a distinct business segment consistently with the strategy and the business direction we defined in the Capital Market Day. So, the numbers on this slide for Defense Electronics have been restated to exclude Cyber and Security Solutions and also the Space line business now accounted for in the Space division. So, starting with Electronics in Europe. We had a very strong ordering take of EUR3.4 billion up over 20% year-over-year with a book to bill of over 1.4 times, showing good growth across all domains and leveraging on our key strength in our integration capabilities. Notable orders included combat systems for the Italian Navy Surface Patrol Systems, new generation communication system for light tactical vehicles for the Italian army, plus several export orders for naval guns. Revenues were up 9.3% at EUR2.1 billion reflecting mainly the delivery of backlog across segments. EBITDA grew strongly to EUR251 million and increased by 18% with return on sales also stepping up to 11.8%, thanks to a growing volume and the good performance of MBDA. So, Electronics Europe was again a key growth driver with continuing very strong performance and momentum. At the same time Leonardo DRS also had a very strong first half with significant increases in new orders, revenues and profits as you are also hearing from Bill Lynn the CEO who is holding a conference call as we're speaking. The new order intake grew 21.4% to $1.8 billion including electric propulsion component for the Columbia-class submarine plus the order for the family of weapon sites. DRS revenues also stepped up 20.4% to $1.4 billion on the back of delivery of key programs in key strategic areas such as force protection, advanced sensing, network computing and communication, power and propulsion and EBITDA grew strongly from $91 million to $121 million, an increase of some 33% with an increased ROS return on sale of 8.4% reflecting also higher volumes. Moving on now to Cyber and Security Solutions. You can see a strongly growing business with first half order of EUR427 million up 54% and revenues up 13% to EUR301 million. EBITDA is up 33% at EUR11 million with book to bill well above 1, and a positive trajectory with increasing volumes and profitability. The first half order intake growth was mainly driven by domestic markets and included in the area of Defense and Governmental the implementation phase of the JOC-COVI, the Joint Operation Center for the Joint Operations Command and cloud infrastructures for the Italian public administration through the PSN program. Revenue growth is reflecting higher order volumes while profitability is mainly driven by operational leverage. Speaking now about Aircraft. Here we saw continued strong delivery of profit and high margins driven by the Fighter program. Order intake in the half was over EUR1 billion, lower than last year because of the phasing of some export orders. And there are a number of international campaigns that are being pursued and are progressing well. Revenues were EUR1.3 billion, in line with last year, if we include pass-through activities. And profitability continued to be very strong with EBITDA of EUR167 million, an increase of 4.4% year-on-year, and a top-notch return on sales of 13 plus percent, with leading contribution coming from the Fighter business. Turning to Aerostructures, in the first half we made further progress. Order intake increased. Revenues were slightly higher as activity increased. Volumes on the B787 program were higher than the same period last year, with 23 fuselage sections versus 18 last year. But still below the rate we would want to have. And the Aerostructures EBITDA loss in the first half was reduced slightly to EUR71 million. But the first half results are still not reflecting the slowdown in the B787 program. As you have heard Roberto say earlier, we have taken immediate actions to address a short-term production profile at the Grottaglie site, and we are accelerating key initiatives to diversify the mix of businesses in Aerostructures. We are going through a negotiation phase with Boeing, and we do see positive prospects of the B787 in the medium to long term. Finally, ATR delivered 11 aircraft in the first half versus 12 in the previous year. Now speaking about Space, here we have been putting in place the building blocks for our new Focus Pay division that the CEO described, and we see a growth area for the future. It now includes the consolidation of 100 percent of Telespazio plus the Space business line previously accounted for in the Electronics business. We saw a good commercial performance in the first half. In Telespazio new orders were higher at EUR335 million, with highlights including the preliminary activity for the Moonlight initiative for the creation of the lunar communication and navigation services and related infrastructure. Telespazio revenues grew to almost EUR400 million, driven mainly by Satellite System and Geo Information. And EBITDA stood at EUR24 million with a return on sale of 7.3%. So, a solid performance of the business that we have consolidated with a year-on-year fall in EBITDA of the division as a whole, reflecting the difficult market environment of the Telco satellites business within TAS. The TAS operating performance is impacting our first half result, and now it is expected to be negative for the full year due to the combination of the fall in commercial telco activity and a higher level of R&D and the impact of restructuring costs. So, this is the performance all across the group, and it also has translated into a better bottom line performance. EBIT grew to EUR390 million in the first half, up 4%, restructuring costs were lower in the first half, EUR15 million versus EUR31 million last year, while non-recurring costs were higher at EUR70 million versus EUR13 million last year, relating to the favorable conclusion and termination of certain contracts that were legacy contracts that dated almost 10 years. The ordinary net result was EUR189 million, almost in line with last year, while the net result of EUR555 million benefited from the capital gain accounted for the consolidation of Telespazio on the back of the fair value evaluation. Importantly, we have continued to make progress this year in improving our cash generation. You can see a lower level of outflows in the first half with free operating cash flow of EUR548 million on a pro forma basis in ‘23. This improving performance underpins our confidence in our positive trajectory going forward and for the full year target. We continue to focus on executing our disciplined financial strategy and we set out for you in March our priorities here. Being fully committed to maintaining investment grade status, supporting growth and improving shareholder returns. So, you have seen in first half we have made a good start to the year. Our main businesses in Defense and Governmental side are delivering strongly especially in growing order intake, increasing revenues and EBITDA as well as cash flow. While recovery in aerostructure may be slower because of the well-publicized challenges related to Boeing, we're accelerating efficiencies in ‘24 to offset these challenges coming from Aerostructures and the Telco activity in Space. So overall we are on track and we are confirming our full year guidance. As we previously said it is based on our current assessment of the effects of the geopolitical and macroeconomic environment on supply chain, on inflation and on the global economy, assuming no major deterioration. You can see here on the slide we expect this year continued strong commercial momentum, rising backlog, top line revenue growth delivering from backlog, improving profitability, strengthening cash flows and reducing net debt. So to conclude, we are pleased with the first half with good performance across all key metrics. We saw further growing commercial success and stronger financial performance. We are on track and we are on track of our path forward. Thank you and I will now hand over to the Q&A.
Valeria Ricciotti: Thank you, Alessandra. We are now ready to take your questions. We’ll start from the conference call and as usual we’re ready to take questions also from the web. You can text them directly and I read them for Roberto and Alessandra. So, I kindly ask the operator to start with the first question from the line.
Operator: Our first question comes from Alessandro Pozzi with Mediobanca. Your line is open. Please go ahead.
Alessandro Pozzi: Thank you for the presentation. I have a long list of questions here, but I will try to limit myself to two. The first one is on the land domain, on the land JV. In June you suspended the JV with KNDS and I believe, Roberto, you mentioned that was because you didn't share the vision for where the main battle tank could have gone in the future. My question is, what Rheinmetall can bring to the end of the table when KNDS didn't? And could you perhaps try to quantify the potential opportunity in terms of orders for this new JV with Rheinmetall? The second question is on Boeing and I believe you are trying to get back to the 10 units per month in 2025. At the same time, you mentioned you are bringing over new programs like the AW609 or the AW101. And I was wondering, can you give us maybe a sense of whether the EUR50 million that you mentioned last time during the call of potential losses cumulatively over the next couple of years still holds? Or and perhaps I guess there are additional costs in moving some of the production from other sites to Grottaglie. So, any color on the EUR50 million and how you're planning to get back to the breakeven target for the Aerostructure will be appreciated. Thank you.
Roberto Cingolani: Sure. Thank you very much for the questions. So, concerning KNDS, I would say the main difference in the situation and in the collaboration, we are discussing with Rheinmetall stands in the strong complementarity. It's really strong complementarity between Leonardo and Rheinmetall. I don't want to oversimplify but chassis versus turret and electronics and guns basically gives you an idea of 50-50 distribution. The work share is therefore inherently very symmetric. We're talking about 60-40 in the case of an Italian supply but it could be the other way around for export but we are always in the range of something like 50-50. The timeline is very good because the requirements of the army was to have the first deliveries in a couple of years so we can with some effort start delivering between 24 to 36 months both for the infantry vehicle and for the main battle tanks in small numbers but just to get started. With KNDS it was a bit longer and I would say if you want to have an idea of the potential market. So, if we say only on the domestic tender let's say for the Italian army it's going to be something in the range of EUR20 billion overall, infantry vehicle plus main battle tanks on a time scale in the range of 10 to 15 years. Those numbers are being now made clear by the authorities, but if you consider this on a much broader scale, main battle tanks market, this could be in the range of EUR40 billion to EUR50 billion over the next decade so it's quite a big market. Concerning the second question, the first point is whether we can confirm EUR50 million to EUR60 million losses let's say in the next couple of years. At the moment it's difficult to be more precise primarily because the situation is still very volatile. It depends very much on what will be the price of the single components that we will agree with Boeing and this is a part of the negotiation at the moment so we believe for the time being we can confirm those numbers. Concerning the 609 and the 109 by the way we confirmed those numbers but of course we hope by September to close to clarify, to close the agreement and then we will be much more precise depending on the pricing and on the rates. Concerning the cost to move the production 609 and 109 or the final assembly in another site of course there will be a cost but please consider that that cost has to be underwent as we undergone anyway wherever you make the assembly. So, the fact that we move this in a plant in Grottaglie does not mean that we don't have to invest money to finalize the assembly in another site. So, I would say this is part of the standard investment to the company. This is what we're going to do anyway wherever we make the final assembly.
Alessandro Pozzi: Okay and with regards to the new pricing you still have a step up with a section of 1406 I believe and do you expect to produce that by the end of next year or it's going to be 2026?
Roberto Cingolani: You mentioned -- you refer to the 609 am I right or?
Alessandro Pozzi: To the 787, the particular section...
Roberto Cingolani: Yes, for the difference. Yes, yes. No well, this depends on the negotiation with Boeing. I mean right now the rate of delivery is 2-3 components per month is not enough. However, we know that this rate has to increase and in the plan Z-60 that we're negotiating now the estimate is to rise to 10 shipments per month in 2025. This is so far what we are discussing.
Alessandro Pozzi: Okay my question was the step up in pricing is yet to be agreed or is it already agreed with Boeing?
Roberto Cingolani: No, this is actually what we are negotiating now on the basis of the last proposal that Boeing made to our Aerostructure division. So, we believe this is the reasonable basis for the final agreement but we have to finalize this. Its work done in this week.
Alessandro Pozzi: All right. Yeah, thank you very much.
Roberto Cingolani: Welcome.
Operator: We now turn to Virginia Montorsi with Bank of America. Your line is open. Please go ahead.
Virginia Montorsi: Thank you very much for taking my questions. I had a follow-up on the programs you're moving to Grottaglie. What happens exactly to the final assembly lines of the programs that you're moving away from? Should we expect anything specific in terms of cost absorption or anything on the profitability of these facilities?
Roberto Cingolani: Well once again, imagine that we're close to the certification of the 609 next year. It should be in 2025 and we have a plan for the very beginning to have at least 30 machines to be built and delivered. So, we have to finalize the assembly of those machines anyway somewhere. So, we have to invest this money anyway somewhere. So, this is as I said before is an inter-divisional effort. It's no longer an intra-divisional effort. So, to be clear the Helicopter division has to invest that money in some place. So, I would say yes, we will need an investment because we have to make a full assembly line operative by the time the machine will be ordered. But this can be done where at this point is more convenient. And we believe diversifying the activity in Grottaglia might have many advantages. At least but I mean just to mention one, there is an airport there. There is a runaway. So, assembling the machine in a place where you can take off and landing not only vertically but also horizontally like a fixed wing is definitely an advantage. The infrastructure is state-of-the-art. So, in some sense maybe it's cheaper to make this there than building a new building somewhere else in Italy and starting from scratch with the construction of a new plant. We are making the calculations of course but it seems to be rather attractive as a perspective.
Virginia Montorsi: Okay, thank you. Maybe just as a follow-up for example you mentioned you're moving the AW101 there. Where is it currently if I take this one as an example, where is this currently produced and how are you moving it?
Roberto Cingolani: This is because of the synergy that the Helicopter division wants to make with the existing helicopter plant in Brindisi which is very, very close to Grottaglie. So, part of some activity related to that machine is already there and then of course the 609 since we have to start from scratch it would be more convenient to make it there than elsewhere. This is the part of the strategy that we are developing with the Helicopter division. Actually, Virginia if I may, the paradigmatic change is that before that was a problem of Aerostructures. Okay, so the one company did not impact on the Aerostructure. Aerostructure had a problem and was supposed to fix the problem on its own. Now, the one company is working like a company so we can move a production from one site to another because this is in the interest of the one company not of the single division and out of this synergy because this is an industrial synergy that we're trying to develop, we might have a global benefit which is not only impacting on the Aerostructure but on the entire Leonardo group.
Virginia Montorsi: Okay, thank you very much.
Roberto Cingolani: Welcome.
Operator: We now turn to Christophe Menard with Deutsche Bank. Your line is open. Please go ahead.
Christophe Menard: Yes, good afternoon. Thank you for taking my question. The first one is on free cash flow which in Q2 was strong or stronger than expected. This is good momentum. You justified it in the press release. I was just wondering about prepayments because order intake continues to be strong. Will there be a time when prepayment will start being material in your free cash flow because I don't think we've seen it yet. So, any color on this? I'm asking because most of your peers are talking about prepayments even in Germany. So that's the first question. Second question is you're very clear about the joint venture with Rheinmetall and the objectives and I mean delivering it within three years could be a challenge. If you can't deliver within three years what will be the financial consequence? Is there any financial consequence or is it just the target that you have and basically you're aiming at that target but there will be no financial impact?
Roberto Cingolani: So Christophe, Alessandra for the free operating cash flow then I will tell you about Rheinmetall.
Alessandra Genco: Yes Christophe. So, in terms of cash flow generation, it's all organic and it's not composed of any contribution from specific orders. As I mentioned and as we mentioned there are no jumbo orders within the order intake mix. So, the advanced payment from customer is really in the ordinary course of business and the utilization of these advanced payments as we deliver milestone of activities is also in the ordinary course of business. It's all through organic good invoicing processes and good cashing processes with a tight control on working capital.
Roberto Cingolani: Yeah, Christophe, to answer your question, just to clarify, I think that after talking to our colleagues in Rheinmetall and of course talking to the army, the delivery of a first slot of machines either infantry vehicles or main battle tanks is expected to be within two, three years for a small number, let's say five to 10 to give you the order of magnitude. In this respect our colleagues in Rheinmetall told us that they have availability of a number of platforms. So, for those numbers, this shouldn't be a paramount problem. Of course, in the course of the program that is at least ten years, lasting ten years, we have to reach numbers in the range of a few hundreds and, therefore, the production will grow and the synergies among Leonardo and Rheinmetall will grow in terms of production and construction of the machines in the different sites, La Spezia in Italy, of course, the central sites in Bremen or in Dusseldorf, depending on what will be done. So, I believe that there should be no particular big problem for that. Should this fail, well, we don't have yet any, how to say, contract that establishes rules and fine and penalties in case of failure. But, as I said, Rheinmetall was very, very clear in evaluating the risk for a small slot of deliveries in two, three years.
Christophe Menard: Okay, thank you very much.
Roberto Cingolani: You’re welcome.
Operator: [Operator Instructions]. We now turn to George Zhao with Bernstein. Your line is open, please go ahead.
George Zhao: Hi, good evening, everyone. First, earlier today DRS raised its full year revenue guide by $150 million at the midpoint. You've chosen to re-edit your guide. So, is that all conservatism or does that reflect any incremental weakness across the rest of your portfolio, including your Aerostructures versus your initial guide? And second one, I guess, what's the status of your discussion with Iveco regarding the potential acquisition of its defense vehicles business? And especially following the JV with Rheinmetall, what would the rationale of a potential deal be?
Roberto Cingolani: Okay, go ahead with the first.
Alessandra Genco: Sure, John. Well, the upward revision in the revenue guidance of DRS, as you can appreciate, is not material for Leonardo. $150 million within the target for Leonardo is -- it's a percentage that clearly does not move the needle. Our view of risks and opportunities associated with the full year prospects on revenues is well balanced and gets us to the landing point of the guidance. We are clearly going to have some shortfalls in Aerostructures, which we will be compensating with the strong performance of defense businesses across all segments, Defense Electronics, Helicopters, Aircraft, and considering all of these elements all together, plus clearly DRS, the guidance is confirmed and well balanced.
Roberto Cingolani: John, concerning Iveco, thank you for the questions. Well, there should be a complementarity because Iveco produces a number of wheeled vehicles that are not in the target of the one we are discussing with Rheinmetall. However, to be very, very clear, we have to exploit the strong synergy between Leonardo Rheinmetall and the joint venture, so we are working 100% of the time on closing the JV. By the time this will be closed, very likely and hopefully this will be September, for sure we're going to analyze further synergies that could be implemented with Iveco. I'm sure there are synergies. This is something that we have to share and agree with our partner, Rheinmetall, and very likely there could be a joint interest to make a sort of merge, acquisition, whatever. But of course, first of all, we have to see whether there is a clear technology synergy. Second, whether there is a clear industrial strategy that we can develop together. It must be advantageous, otherwise it would be just a political operation we don't want to do. And least but not last, it has to be cost effective. For the time being, I think our focus is 100% on the creation of the JV, and for the next seven, eight weeks, our technical teams will work full time on this accomplishment. Immediately after, we're going to analyze the Iveco situation. To be very fair, we are of course already discussing with our people, because we know each other, and discussing is obviously part of the business. But I was very prudent in my analysis and said, guys, let me understand first of all, what is the status of the industrial program with Rheinmetall, and then we will analyze and exploit all possible synergies with Iveco Defense. So, I'm very positive. There is no closing whatsoever, a priori closing, but we have to see technology, market and cost effectiveness.
George Zhao: All right, thank you.
Roberto Cingolani: Thank you.
Operator: We now turn to David Perry with JP Morgan. Your line is open, please go ahead.
Q – David Perry : Yes, good evening, Roberto and Alessandra. Three quick ones, please. The first one is the Rheinmetall JV and this potential big contract, but it's kind of new to me relative to the industrial plan. So, I was just wondering if you think this is upside to your guidance, or you already have something baked in. The second question is, there were a lot of press reports this summer about Italy very soon would order more Eurofighters, but you've made no mention of that or GCAP in your presentation. So, I'm just wondering if maybe there's a budget issue that Italy is prioritizing land in the near term over more Eurofighters. I'd be interested in your view there. And then my third one is on Cyber. It's a very, very small division you've created. Usually, companies only do that if they're planning to significantly grow those businesses with acquisitions. So, could you just talk to them and what your plans are, please? Thank you.
Roberto Cingolani: Thank you, David. So, concerning the Rheinmetall Leonardo joint venture, because of the previous ongoing discussion with another company, we already included approximately 50% of the estimated value in our industrial plan. Of course, as you know, at the very beginning, you don't make big money. So, you have to let the activity grow. And I think for the time being, we don't need to upgrade or change the guidance. Well, we hope we can do this soon. But at the moment, I think we are -- how to say, we are prudently following the construction of the JV and some of the numbers already included. Concerning the Eurofighter, so first of all, I would like to say that the allocation of the money for the GCAP is on one chapter has been done already, EUR8.7 billion, if I remember correctly, at domestic level. And so, this will be transformed very soon into domestic programs. Concerning the Eurofighter, that's another chapter of the governmental money. Yes, I confirm there will be a growth in the Eurofighter orders. I can't give many details, but it's going to be big numbers for the near future. And concerning Cyber, I think that in our industrial plan, for the Cyber division, we've been very, I mean, actually, very outspoken because we make a clear selection. I mean, actually, the Cyber division was a little bit spread on too many applications. I'm getting now the original presentation. Let me tell you really in short, in half a minute, what we are going to play, what we are going to do with the Cyber division. First of all, Cyber was dedicating most of its activity to public administration, primarily integrating software that was purchased by other sources. That means that they own something like 30% of the product. There were no proprietary products, basically, or very few proprietary products. And let's say the idea is that we want to go from 30% to 70% of proprietary products. So, the first challenge of the Cyber division is to grow in the capability to develop algorithms and technologies. Otherwise, as a system integrator, there is no future in terms of revenues, in terms of profitability, and so on. The second big challenge is we want to quadruplicate the product for defense application, because before it was all public administration. So, this transformation is ongoing now, and we do see already the change. That's why the numbers were not so bad, ultimately. I agree, it is not very big, but it's growing. And primarily, it's growing along two clear directions, improving defense, increasing defense products, and increasing proprietary products. Substantially, four times the military products and more than doubling the proprietary products. On top of that, we made a forecast. We expect almost 90% of the products in the Cyber and Resilience area and secure digital platforms. So, by focusing, we don't need to be very big, we need to be very strong. And I think those two areas are representing a large part of the Cyber market at the moment for Defense and for the leading proprietary product. So, I would say, the forecast for cyber, it's very challenging at the moment. I agree, not very big. But don't forget that the Cyber division in Leonardo will act like the glue for all the other platforms, because we are imposing now that all divisions in Leonardo should start designing the new platforms that should be conceived as cyber secure by design. That means that, first of all, the Cyber division should be transversal to all our division hardware platform divisions. And on top of that, should develop proprietary products and military applications. So, I think for the next couple of years, two, three years, that is very challenging as a program, and we want to see the numbers rising substantially. Then we might make a second step. But for the time being, the challenge is very big.
Q – David Perry : Okay, thank you very much. Can I just sneak one extra, please? Could you just give us an update on the non-recurring and the restructuring for the full year? It came in fairly high for H1. Thank you.
Alessandra Genco: Sure, David. Well, the H1 is reflecting in the non-recurring line, the positive closure of legacy contracts where the embedded risk was significantly higher than the number you see. You may remember the Doha Stadium contract in particular. We closed it down and we settled with an agreement the position with our counterparty and we also cashed in the working capital that was owed to us, has been owed to us for a number of years. So, that's clearly a positive. The other contract is another legacy contract dated 2015 where we had an opportunity to settle with our client position which was also an overhanging risk in the plan for us. So, from our perspective, these closures have actually been pluses and we took the opportunity to take advantage of this moment to close these contracts positively.
Roberto Cingolani: David, honestly, the risk to lose that money was increasingly higher and higher over the last couple of years and we really wanted to close it because the risk was not losing something, the risk was zero, losing all. So, we were really scared at a given point that we decided to accelerate.
Alessandra Genco: So, for the forecast for the full year, we do feel that these were the major item that we had undergoing and I would say that there shouldn't be more material contracts such as these that may determine a significant ramp up in the figure for the full year.
Q – David Perry : Thank you. It's very helpful.
Operator: Our next question comes from Martino De Ambroggi with Equita. Your line is open. Please go ahead.
Martino De Ambroggi: Thank you. Good evening, everybody. I have a focus on M&A because so far you achieved several divestitures creating a certain firepower. But I was wondering first, if you could remind us what is the maximum financial leverage you are comfortable with or the level you will never exceed? Second, I suppose the joint ventures will require probably cash injections from Leonardo. And third, based on your general rules, probably a big acquisition is absolutely ruled out taking into account -- despite taking into account the firepower. And the last one is just trying to summarize the guidance for this year. You are increasing the savings, but you are confirming EBITDA. Is it probably due to Aerostructure trying to summarize the picture?
Roberto Cingolani: Go with this one and then I will answer.
Alessandra Genco: Yes, Martino. So on guidance, the confirmation of the guidance at EBITDA level translates also into a bit of a different mix. Because as you were suggesting, we will have a lower contribution from Aerostructures, meaning the loss in Aerostructure will be larger than what we had forecasted in the budget, as well as the negative impact of TAS in the component related to the Telco manufacturing business will have to be taken into account. All of this will be offset by the higher savings we will achieve in ‘24, as well as by a strong background in the Defense and Governmental businesses throughout all our business sectors.
Roberto Cingolani: Martino, concerning the M&A, of course, what we make available for the M&A depends on the numbers year by year. As long as they are good and the performances are good, those numbers can increase. But let me give you a very simplified picture. With the net income in the range of EUR700 million, like it was last year more or less, EUR350 million went to reduce the debt, EUR150 million as an extra dividend, and about EUR200 million could be invested in the 12 months for small M&As. Those numbers, if we continue to grow as we are growing now and improving the efficiency, are going to grow. So, I think in a disciplined capital allocation, we might have enough money for a number of small M&A. When I say small, I mean those that are 15% to 20% of the turnover of the divisions. Now, if you want to make something big, of course, let's say half a billion or more, in that specific case, obviously, you have to do something different. You don't make this with your cash pocket. You have to do this, maybe creating new debt for a while, or maybe selling something else. But of course, in that case, we are not simply evaluating how strategic is the acquisition for a division, because it's reinforcing a product or simply introducing a knowledge that would be more expensive to create in-house. In that case, it must be a Leonardo strategic acquisition, so global. And in that case, it could be, well, we might evaluate to invest more money on something bigger. So, this of course is a different process compared to the division due diligence for the acquisition of a small medium enterprise, to be honest. And we will analyze case by case. We were discussing before, namely, Iveco or other big – those are big companies. Should we decide to do something like that? We will analyze from any point of view, including financials, whether the risk is an affordable risk.
Martino De Ambroggi: Okay, thank you. If I may just follow up on M&A for the Space Alliance, what is your best scenario you are looking at?
Roberto Cingolani: With the Space Alliance, actually we are in a very close contact with our partners in Thales. And so, of course, there are different, how to say, there are different situations to be faced at the moment. The first priority is that the SATCOM business should be restored at profitable levels, because this, of course, is creating problems to all of us. And you know, this is a very complex market. So, there is a lot of work ongoing with the SATCOM business to see how to improve the situation. On the other hand, there are other small acquisitions that could reinforce substantially our profitability and capability. For instance, introducing federative or generative AI into the image analysis in specific domains, health observation or geo-localization could help a lot for global monitoring, for instance. In that case, we can for sure consider acquisitions that just bring in competencies that would take too much time or too much money to develop in-house. But those are different levels. The third level, which is bigger, is how the big companies in Europe can make synergies to make Europe more competitive with respect to China and the U.S. This is something we are discussing at technical team level. There is a lot of ongoing discussion. You've seen this on the international press. I'm not disclosing anything secret. But of course, we are all pretty much involved and committed to see whether we can develop synergies that make Europe stronger. Think to the launchers, think to SATCOM, think to satellite services. That is a bigger level, a higher level. We're moving on three levels in parallel, basically.
Martino De Ambroggi: Thank you very much.
Roberto Cingolani: Welcome.
Valeria Ricciotti: Let's take two questions from the web. Actually, they're quite quick, so I'll read them together. The first one from Nick Cunningham saying, I think you said you have 40 787 fuselages in inventory. What would be the right number, 1050? What 787 serial number are up to with your build? This will help us to work out how long it will take to get to the point when the unit price steps up. And the second one is from Ian at UBS. Why was Aircraft weak in Q2, please? Is this simply a question of phasing between quarters?
Roberto Cingolani: Okay, concerning the fuselages, I can answer. Well, I would love a situation in which the shipment rate is 15 to 16 per month. And then I would love to have 40 fuselages in the warehouse, because that means that every two months and a half, I empty it and we make a lot of money. And also, Boeing is very happy because they will deliver a lot of aircraft. So, we all look forward to go back to this fantastic situation. But at the moment, obviously, with approximately 40 fuselages in the warehouse, if the shipment is two, three per month, we have a problem because we cannot keep a high rate of production because we don't have space to collect the components. I think if we approach the 10 shipment per month, okay, we already entered into a dynamic regime in which you empty every month by one quarter the warehouse and you can keep some equilibrium. But of course, the best situation should be around 15 or more shipments per month. Yeah, this is what we are working, we are working all together. And I think since Boeing has a number of orders, I think I remember something like 600 orders for large frame aircraft, sooner or later, they will recover the rate and we are ready to produce as much as possible.
Alessandra Genco: Yes, so on aircraft spacing, I confirm, Ian, we have the division is engaged in a number of important export contracts. And what happens is that the administrative process in the client country may take longer sometimes than originally expected. And in some instances, also, these contracts are supported by export financing plans. Therefore, all of this may shift programs. Nonetheless, we acknowledge and we confirm what we have stated at the divisional level, the opportunities, especially in the Fighter domain, both Eurofighter and JSF are significant. The JSF rate of production remains and the order intake we received from Boeing remains very solid and constantly giving us a support with good profitability and cash flow generation. And the Eurofighter prospects are significant, both with heightened demand from the domestic countries. You have heard about Italy before, Spain and Germany will double down on their orders, as well as there are a number of export campaigns on which the division is working. Not to speak about the evolution of the Fighter family into GCAP. So, the opportunities are significant and the facing is always not telling the full story.
Valeria Ricciotti: Okay, this was the final question. So, thank you very much for the time today. As usual, the IR team is available for follow-ups. Thank you.
Roberto Cingolani: Thank you very much, guys. Thank you.
Alessandra Genco: Thank you.